Operator: Good morning, and welcome to SeaWorld's Second Quarter 2018 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Matthew Stroud, Vice President, Investor Relations. Please go ahead.
Matthew Stroud: Thank you, and good morning, everyone. Welcome to SeaWorld's Second Quarter 2018 Earnings Conference Call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are John Reilly, Interim Chief Executive Officer; and Marc Swanson, Chief Financial Officer. This morning, we will review our second quarter 2018 financial results, and then we will open up the call to your questions. Before we begin, I would like to remind everyone that our comments today will contain forward-looking statements within the meaning of federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These risk factors may be updated from time to time and will be included in our filings with the SEC that are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we will reference adjusted EBITDA, which is a non-GAAP financial measure. More information regarding our forward-looking statements and reconciliations of adjusted EBITDA to the most comparable GAAP measure is included in our earnings release available on our website and can also be found in our filings with the SEC. Now I would like to turn the call over to John Reilly. John?
John Reilly: Thank you, Matthew. Good morning, everyone, and thank you for joining us. First, I would like to discuss our strong second quarter results and the continued strength we are seeing as we wrap up the summer season. Then I'll hand it over to Marc to discuss our financial results in more detail. We are pleased to report strong second quarter financial results. For the second consecutive quarter, we saw solid growth in attendance, in-park per capita spending, revenue and adjusted EBITDA. We believe that these results were driven primarily by our new strategic pricing strategies, new marketing and communications initiatives and the positive reception of our new rides, attractions and events. We are particularly pleased with our second quarter attendance growth, which withstood the negative impacts from unfavorable weather across several of our markets and the earlier timing of the Easter holiday in 2018 compared to 2017, which benefited the first quarter at the expense of the second quarter. While our year-to-date 2018 results have been strong, we believe we have significant opportunity for further improvement. We continue to see growth in season pass sales, which has been an important strategic focus for us. We believe our season pass offerings provide some of the best value in the industry as we have created even better incentives for our guests with increased benefits, access to more exciting, one-of-a-kind and award-winning events and more attractive pricing. We believe we are doing a much better job of communicating the highly compelling value our pass offerings provide to our guests. Through the second quarter, we have grown revenue from season pass sales at a double-digit growth rate. We are also pleased with our growth in in-park per capita spending, which was up again this quarter. We have an excellent team that continues to find ways to introduce new in-demand offerings and drive increased pricing and the penetration of our culinary, merchandise and other in-park offerings. As Marc will discuss shortly, we are seeing the benefits from our expense reduction efforts and have created a new culture of efficiency across the enterprise. We have also identified additional cost efficiencies that should flow directly to adjusted EBITDA. We have opened almost all of our new rides and attractions for 2018. In May, we opened Electric Eel at SeaWorld San Diego, Ray Rush at Aquatica Orlando and Oscar's Wacky Taxi at Sesame Place. All of these rides have received positive guest reviews and favorable media attention. We still have 1 ride that is not open, Infinity Falls, at SeaWorld Orlando. While we will announce the opening date of this ride soon, the timing of the opening of this ride is clearly disappointing. We need to, and will be better, going forward at opening all of our rides and attractions in time for peak summer season. I've been out to see the ride with water flowing through the channel, and we look forward and excited to have our guest experience what we believe to be one of the best, if not the best, rapids ride in the world. We believe that our events continue to drive attendance as well. In the second quarter, we featured our Seven Seas Food Festival at SeaWorld Orlando, SeaWorld San Antonio and SeaWorld San Diego, and our food and wine festival at Busch Gardens Tampa and Busch Gardens Williamsburg. Our Sesame parades began in San Diego and San Antonio in the second quarter and will continue to run for a few more weeks, and we featured Sesame-themed events in Tampa and in Williamsburg. We believe these very successful events helped drive attendance and in-park per capita spending for the second quarter. And as we mentioned last quarter, we brought back free beer as a summer promotion in Tampa and Orlando, and you can imagine, this limited time promotion has been popular with our guests. We have our award-winning Electric Ocean event in full swing at each of our SeaWorld parks and our Summer Nights event is operating at each of our Busch Gardens parks. Later this quarter, we will have BierFest at SeaWorld San Antonio and both Busch Gardens parks. This will be the first time this event is taking place in Tampa. And following that, our popular Halloween events will begin across all of our theme parks and carry over into the fourth quarter. We believe these events will continue to drive growth in attendance, total revenue and revenue per capita. We are pleased with our year-to-date progress through July, but as I mentioned, we believe there is significant additional opportunity to drive improved financial performance and we are intensely focused on continuing to execute as we wrap up our peak summer season. With that, I'd like to turn the call over to Marc to discuss our financial results. I will then return to offer some final comments. Marc?
Marc Swanson: Thanks, John, and good morning, everyone. As John mentioned, our second quarter financial results were strong. Second quarter attendance increased 4.8%. We believe that the improved attendance resulted from a combination of factors, including our new strategic pricing strategies, new marketing and communications initiatives and the positive reception of our new rides, attractions and events. These attendance drivers more than offset the negative impacts from unfavorable weather across several of our parks and the earlier timing of the Easter holiday 2018, which affected the timing of spring break for a number of schools from our key markets. During the quarter, we generated revenue of $391.9 million, an increase of $18.2 million or 4.9% compared to the second quarter of 2017. The increase in revenue results from the growth in attendance and in-park per capita spending, partially offset by decreased admissions per capita. We reported net income of $22.7 million, an increase of $198.5 million compared to the second quarter of 2017. Net income includes approximately $8.7 million of pretax expenses associated with separation-related costs and a legal settlement accrual recorded in the second quarter of 2018. Net loss in the second quarter of 2017 includes approximately $280.4 million of pretax expenses associated with the following $269.3 million related to a noncash goodwill impairment charge; $8.4 million related to noncash equity compensation expense performance awards, which vested in the second quarter of 2017; $2.5 million related to a legal settlement accrual; and $0.1 million related to a loss on early extinguishment of debt and writeoff of discounts and debt issuance costs. We reported adjusted EBITDA of $117.6 million, an improvement of $13.4 million or 12.9% compared to the prior year quarter. Adjusted EBITDA was primarily driven by revenue increases due to growth in attendance and total revenue per capita. Majority of this increase flowed through to adjusted EBITDA due to a focus on cost efficiencies and realization of cost savings initiatives. Please note that the second quarter 2018 adjusted EBITDA calculation does not reflect certain add-back adjustments due to limitations in the company's credit agreement, as noted in the table in our earnings release. Second quarter total revenue per capita increased to $61.10 compared to $61.05 in the second quarter of 2017, driven by strong in-park per capita spending, which more than offset a decrease in admissions per capita. The decline in admissions per capita primarily results from new pricing strategies and visitation mix. In-park per capita spending growth was primarily driven by increased sales of in-park products including culinary and other in-park offerings. We continued to make solid progress on the expense reduction front. We have fully realized our targeted $40 million in cost savings that we identified in 2016. Today, we are updating our targeted cost reduction from the $25 million identified at the end of 2017 to a total of $50 million that we have identified and are executing on. We are actively working to find other opportunities where possible. We have spent considerable time analyzing our cost structure at the corporate and park level, and, have identified significant opportunities to streamline our business, reduce redundant expenses and operate more efficiently. Looking at our results for the first half of 2018. Total revenue was $609.1 million, an increase of $49 million or 8.7%. Total attendance was 9.6 million guests, an increase of over 700,000 guests or 8%. Net loss for the period was $40.1 million and adjusted EBITDA was $117.5 million, an improvement of $43.6 million or 59.1%. Net loss for the first half of 2018 includes approximately $30.2 million of certain pretax expenses associated with separation-related costs and legal settlement accrual's. As I mentioned earlier, our first half 2018 adjusted EBITDA calculation does not reflect our add-back adjustments due to limitations in the company's credit agreement, as noted in the table in our earnings release. Net loss in the first half of 2017 includes approximately $288.4 million of pretax expenses associated with the following, $269.3 million related to a noncash goodwill impairment charge; $8.4 million related to noncash equity compensation expense performance awards, which vested in the second quarter of 2017; $8.1 million related to a loss on early extinguishment of debt and write-off of discounts and debt issuance costs; and $2.5 million related to a legal settlement accrual. As noted in this morning's release, our net leverage ratio decreased to 4.4x adjusted EBITDA for the 12 months ended June 30, 2018. Our strong financial performance in the first half of the year and July year-to-date attendance revenue and season pass results, along with our focus on reducing unnecessary costs, give us confidence that we will drive meaningful adjusted EBITDA growth in 2018. Last quarter, we said we would come back to you with thoughts about our long-term adjusted EBITDA goal. As we announced in our press release this morning, we have established a goal of achieving $475 million to $500 million in annual adjusted EBITDA by the end of 2020. We have spent significant time over the past months working closely alongside our board to review our business and identify and implement changes that we believe will allow us to achieve this goal. As you know, given the many levers available in this business, there are several pathways for us to ultimately achieve this goal. For discussion purposes, we have posted a short presentation on our Investor website, along with our earnings press release, that provides an illustration of one of the pathways to achieve $475 million to $500 million of adjusted EBITDA by 2020. This illustrative analysis has components of attendance and per cap growth, along with the reduction in unnecessary costs that we have already identified. Let me spend a few minutes discussing the 4 main drivers in this illustrative analysis. The starting point of our illustrative analysis is 2017 adjusted EBITDA of $301 million. As we look at attendance, we start from fiscal 2017 total of 20.8 million guests. We are showing an illustrative increase in attendance over the three year period of between 1.3 million to 1.6 million guests. As can be seen in the presentation posted on our website, this attendance growth is illustratively shown to come from 1% per annum growth in attendance, which we believe is conservative compared to the historical 10-year industry trend of approximately 2%, as noted on the slide, and an incremental amount of attendance beyond this 1% growth related to recapturing a relatively modest proportion of attendance lost over the last 5 years, which we believe is conservative. As noted in our press release this morning, our year-to-date attendance as of June 30, 2018, is approximately 700,000 guests ahead of last year, so we are already approaching the lower end of this range. We are confident in our ability to grow attendance at these levels due to our improved marketing and communications strategy, a revamped capital strategy and a refocused season pass strategy. We estimate that this level of attendance growth with an estimated 80% flow-through will add an additional approximately $62 million to $75 million in adjusted EBITDA. As we look at total revenue per capita, we start from our fiscal 2017 total of $60.74 and target growth of 1.75% to 2% per year through 2020. This equates to a three year change of between $3.24 and $3.72. We have confidence in our ability to drive this level of per capita growth from improved revenue management capabilities and better execution on our in-park opportunities. We estimate that this level of total revenue per capita growth with an estimated 90% flow-through would add an additional approximately $61 million to $70 million in adjusted EBITDA. Moving to costs. As we have discussed before, we have a heightened focus on finding cost savings and identifying cost efficiencies. Through our recent work, we have identified and are executing on approximately $50 million in cost efficiencies. You should know that we have a continuous effort to reduce the cost side of our P&L and we are actively working to find other opportunities where possible. These efficiencies are focused on reducing costs, improving operating margins and streamlining our operations to better align with our strategic business objectives. These cost efficiencies are found throughout the organization both at the corporate and park level, and include actions such as a reduction in vendors, the elimination of unnecessary spending and other items. The expected adjusted EBITDA impact from these three drivers, attendance, total revenue per capita and cost efficiencies, is approximately $175 million to $200 million in adjusted EBITDA growth. Supporting these efforts is our revamped capital strategy that we believe will help drive attendance growth with the goal of offering a new ride, attraction, show or event in every park every year. We have a renewed, more disciplined focus on efficiency of capital spend and return on investment. After completing significant work along with our board, we are confident we can deliver meaningful revenue and adjusted EBITDA growth and attractive returns on investment by spending approximately $150 million per year in CapEx in our core business, excluding any growth projects like hotels, new parks, et cetera, we believe we can do more and spend less. It is important to know that our efforts are subject to certain risks discussed in our SEC filings, but we believe we can reach our goal of $475 million to $500 million in adjusted EBITDA by 2020, and we believe we have a strong foundation in place and the right core team to execute on our plans to deliver the results this company is capable of achieving. Now let me turn the call back over to John to share with you some closing comments. John?
John Reilly: Thank you, Marc. As you have heard today, we are confident in the direction we are heading and we are encouraged by the results that we are seeing in our business. Our confidence extends to our long-term view and the significantly improved financial performance we believe this company can deliver over the next few years and beyond. Before we open the call to your questions, I have some closing comments. As many of you know, we are one of the world's leading animal rescue organizations and we are proud of our efforts to protect and save wildlife, including more than 31,000 animal rescues in total. This quarter, we helped rescue 886 animals. To further our conservation efforts, we recently announced the removal of all single-use plastic straws and plastic shopping bags from all of our parks, reinforcing our mission to protect the environment, the ocean and the animals we share our planet with. We see the harmful effects of plastic pollution in the animals we rescue and rehabilitate and therefore recognize the importance of doing our part to curb plastic pollution. We are proud to be a leader in this effort and pleased to see others in the public and private sector taking similar actions to protect the oceans. Finally, I want to thank our outstanding team of ambassadors and leaders in all of our parks who are committed to our success as a company. They are focused on providing exceptional service and meaningful experiences to our guests, which is key to delivering these results. We have some of the best employees in the theme park industry, and I'm especially proud to be working with them. There is one more item I'd like to bring to your attention that this morning. You'll note in the earnings release and our Form 10-Q filed tomorrow that the company has recorded an estimated liability of $4 million as of June 30, 2018. This is related to an agreement in principle the company has reached with the enforcement staff of the Securities and Exchange Commission. It's also important for me to note that the company and the staff are still working to document the proposed settlement and the disagreement is still subject to approval by the commission. There's no assurance that the settlement will be finalized and/or approved by the commission or that any final settlement will not have different or additional terms. Now in conclusion, we are confident and believe we are on the right path to deliver significantly improved financial results. We're excited about the future, and we look forward to sharing our progress with you. With that, I'll open up the call for questions.
Operator: [Operator Instructions]. The first question comes from Steve Wieczynski of Stifel.
Steven Wieczynski: So I guess the first question's around the 2020, the long-term guidance, and thanks for giving us that presentation on your website. But I guess, the question is when we look at the total revenue per cap growth, which is, I think, you guys are kind of forecasting about 2% a year, a little underneath that, can you help us think about how you guys are thinking of the breakdown of in-park versus ticket increases?
Marc Swanson: Steve, it's Marc. Thanks. I can take that question. On the per cap, yes, there's two components there, the admissions piece and then the in-park piece. We're not going to necessarily break it out. But as you've heard us say, we have a lot of confidence in the in-park revenue. You've seen good growth there the last couple of quarters and we'll continue to optimize that not only with like culinary and merchandise, but also some of our other products like Quick Queue, our front-of-line product, our zoological experiences that one-of-a-kind type things that we can expose to consumers. So we just see a lot of opportunity there. I'll say on the admissions per cap, we have talked about in the past we're here to drive total revenue, so there's going to be times where the admissions per cap could decline. But going forward, we have a lot of optimism in our pricing strategies and attractive pricing options that we think we'll continue to optimize and get better with going forward. So we do see opportunity in that area as well going forward and have confidence in the forecast we've put out there.
Steven Wieczynski: Okay. And second question, the cash flow generation, obviously, is really starting to accelerate here for you guys, especially as we look out to 2020 now with your new long-term goals. But I guess, John, how do you guys and how do the board think about capital allocation at this point?
John Reilly: Yes, we'll work with the board and ultimately the board and the company will make the best cash decisions to optimize shareholder value for our shareholders.
Steven Wieczynski: Okay, got you. And then last quick question, Marc, I don't know if you said this, if I missed it, do you have the deferred revenue balance at the end of the quarter?
Marc Swanson: Yes, I do, Steve. So our deferred revenue was up just over $12 million or just over 8% for the quarter. So that continues to be a growth story for us, up versus where it was in Q1.
Operator: The next question comes from Michael Swartz of SunTrust.
Michael Swartz: I just wanted to follow up and then touch on the 2020 targets as well. And I think more from the attendance side, it looks like you're kind of predicating that upon the 1% industry growth from an attendance perspective and then recapturing about 20%, 25% of, I guess, what you've lost in attendance over the past 5 years. So I'm just trying to get a little more color on why that 20% to 25% is maybe the right number? And maybe what went into that reasoning?
John Reilly: Yes, thanks for the question. In terms of the attendance performance in the first half, as we said, we're seeing traction on our new pricing, our strategic pricing and revenue management initiatives. Our key initiatives to improve our marketing communications are also driving momentum in the business and the continuous reception of new rides, attractions and events across the portfolio. We believe we have momentum in these areas. And with regard to the attendance, we believe we can do better than the assumed 1% and recapture the 20% to 25% of what we've lost over the last few years. So we're seeing the effects of just a heightened focus on execution and on these new initiatives. We're seeing early traction there, but we believe we have significant opportunity for continued improvement going forward. Our attraction -- our CapEx lineup of attractions and events, we believe, will also help from the attendance side. And as we said on the call earlier, we have seen continued results through July, and at about 900,000 attendees favorable to prior year through the end of July, we're already approaching the low end of the assumption in the presentation that you've seen.
Michael Swartz: Okay. Wonderful. That's very helpful. And then just on the, I think, you said season pass sales growth was up double digits through the second quarter. Could you maybe give us a little better understanding of how some of the initiatives to attract, maybe more of the local consumer or local guests, are applying into some of the growth you've seen there over the past several quarters?
John Reilly: Sure. We have a -- this is John. We have a heightened focus on highlighting the value of our past programs, but we've also been increasing the benefits for our visitors, and clearly, that has a lot of appeal to the people in our close end markets. They've got access to more exciting rides and events. We're better communicating the attractive pricing, including the attractive -- the available option that many of our guests prefer with the monthly payment option for our 12-month passes. So we're seeing migration into the premium pass categories, a big shift there, and we're very pleased with our progress on this front.
Operator: The next question comes from Barton Crockett of B. Riley FBR.
Barton Crockett: I think the outlook you guys have for 2020 is really kind of, I think, the biggest EBITDA growth over like a three year period from any public theme park company that I can recall anyway at this point, so it's a tremendous kind of rebound that you see and that's impressive. I wanted to ask you the one thing. I mean, you're talking about growing -- outgrowing the industry so much in EBITDA, but part of it is the maintenance of kind of the 1% attendance growth and some of the cost cutting. The rest of the industry is seeing a lot of pressure in terms of minimum wage and I'm just wondering how that factors into your outlook, the wage pressures that seem to be stepping up a bit for your -- the other theme park companies. That's one part. And then the second thing is in Orlando, in particular, there's a lot of new attractions that should be coming from Disney and Universal with Disney at some point getting up Star Wars, Universal now talking about a third gate. How does that factor into your view of the target that you've put out there for 2020?
Marc Swanson: Barton, it's Marc. I'll start with the wages and then kick it over to John to talk about Orlando. But yes, obviously, in the number we've given you we have identified $50 million that we'll begin to execute on -- or have started and will continue to execute on. We are obviously working to find other opportunities where possible and we'll continue that work. I think what I want to stress to you is we have a culture of continuous kind of efficiency efforts and we'll continue to do that. We know there will be wage pressures like others in the industry have encountered, but we've accounted for that in the goal that we've given you for 2020.
John Reilly: This is John, just one note on the cost base and to your wage question. We recognize that we have room for improvement in our margins versus our peer groups. As we've said, we've already identified and are executing on $50 million in cost savings and we're working to identify additional savings. So we believe we have opportunity on the cost front. With regard to your question on Orlando, we are highly differentiated in the Orlando market. We're differentiated by an irreplaceable and amazing collection of animals that provides connections that you really can't get anywhere else in the market; rides, including what we believe is the best thrill ride collection in the market, along with family rides and attractions and world-class events. So we believe we are highly differentiated in the market and we're seeing the results from having a better marketing communications strategies around that differentiation in the market. We believe we have a very strong value proposition in all of our markets, and then particularly, in Orlando, and our past values we're increasingly promoting it and we see that as the best value in Central Florida. And if you look at the portfolio of parks in Orlando, it's not just the SeaWorld park, in fact, Aquatica in Orlando last year was named Orlando's best water park, and now recently has been named the U.S.A.'s best water park and we're certainly promoting that in our communications wherever we can. And then you have Discovery Cove with extremely high customer ratings and customer satisfaction ratings, and we just believe the entire portfolio is very strong. So we feel good about our ability to compete. As you know, we've been in that market for 3 or 4 decades successfully competing and we expect that to continue. We welcome investments in the market. It's a strong market with over 70 million tourists visiting every year, and we're excited to be there. And just one closing comment about Orlando I'd say as well, we're really excited about this Sesame Street attraction that we'll be opening next spring. We expect that may open ahead of some the other competitive attractions. And we have seen in our other large-format parks a lot of success and a lot of traction when we open these Sesame events. So we're looking forward to what we have lined up in Orlando.
Barton Crockett: Okay, that's helpful. And just one other thing, if I could ask. The international visitation has been a talking point of discussion with you guys, headwinds at one point and hopefully some stabilization of late. How does that factor into your 2020 target? And what can you tell us about what you're seeing right now?
John Reilly: Barton, this is John. So we've seen an increase in our international attendance in the second quarter again and year-to-date. And as we mentioned, domestically, in our local markets, our drive markets and in our U.S. markets, we've seen effectiveness in the early innings on our marketing communications efforts, our strategic pricing efforts and we see the results year-to-date there. And we believe we have significant opportunity in some of our international markets to modernize our marketing and sales and communications efforts and have commenced that work. So that's underway, but generally through the first half of the year we've seen increases in attendance in our international markets and expect to work to continue that.
Operator: The next question comes from Tim Conder of Wells Fargo Securities.
Timothy Conder: A couple of things here. Just maybe a little bit of housekeeping. Can you give us comments year-to-date -- on a year-over-year basis year-to-date what's your -- how your unique visitors are trending? And then just remind us where your regular overall blended pricing is year-to-date here.
Marc Swanson: Tim, it's Marc. So I mean, we're not -- we don't -- I mean, I think what we can tell you, as John said on the visitation, is we're obviously pleased with the visitation we're seeing from different source of residency. We're not really going to break it out or anything beyond that. From a per cap standpoint, our total revenue per cap for the first 6 months was just over $63 and so that's up just under 1% for the year. So we'll leave it at that, I guess.
Timothy Conder: Okay, okay, okay. I was just trying to get maybe how your blended overall pricing was doing and then, of course, maybe on a gross basis versus a net basis. The other thing, gentlemen, just to follow on the international question here. Historically, we've seen the -- your large dependent markets, it appears to continue to be the U.K. and Brazil and historically we've seen a pretty strong relationship there with the lag effect as to how the currencies have trended. Currency has kind of stabilized and then since the beginning of the year they've weakened somewhat. Are you seeing in your advanced sales, maybe looking into late fourth quarter, early '19 or any indications of that kind of creating an issue again from those two key geographic source markets?
John Reilly: Yes, this is John. So as I've mentioned, we've seen positive trends in the first -- second quarter and first half of the year in terms of international attendance and we're encouraged by that. That said, the same initiatives that we've undertaken domestically in terms of our strategic pricing and revenue management issues -- initiatives and presenting a compelling value proposition for our visitors, along with strong marketing communications, we believe that those key initiatives have application in our international markets as well and that work has commenced. So with regard to exchange issues, I'd say our focus is on our execution in terms of our pricing, revenue management, marketing, communications.
Timothy Conder: Okay, okay. Two other kind of questions, gentlemen. From the perspective of your leverage, just remind us where you want to be. Your -- again, the cash flow is looking good here. Where you want to be? And do you have to be at a certain leverage level before you would consider other capital allocation decisions by the board?
Marc Swanson: Tim, it's Marc. I can take that question. So we're at 4.4x right now, which has an RP basket of $120 million. So I think what we would tell you is we're comfortable with our leverage ratio. We don't have a specific target to share with you, but actually we like where we are and the flexibility that we have at that level. As John kind of answered earlier -- talked about earlier, as cash builds, you can rest assure that this management team, along with the board, is very focused on when the right time comes to make sure that cash is utilized to the best interest of the shareholders.
Timothy Conder: Okay. And lastly, gentlemen, maybe a little bit broader question regarding your largest shareholder and some board representation. Zhonghong had some issues and they're kind of been changing their structure, their investor base, has had some new investors continue to come into their company. What are you hearing as far as direction broadly that they're going and how that would impact potentially their investment portfolio?
John Reilly: Yes, this is John. We refer you to Zhonghong for any answers or additional information on that topic. As you know, we have an agreement with them as well for advisory services and we see no change there. So we refer you back to Zhonghong.
Operator: The next question comes from Jason Bazinet of Citi.
Jason Bazinet: I just had a question on CapEx. The presentation, which everyone has said is great, which it is, sort of talks about $150 million, but then there's footnote in there that says excludes potential ROI projects, new parks, hotels and the like. For -- as the buy-side and sell-side are sort of modeling out these out years, what's sort of a reasonable range for the incremental CapEx that you might spend? Is it sort of in the $25 million to $50 million range? Is that sort of the right ZIP Code for what you may do?
John Reilly: This is John. We have a plan after 2018 to achieve $150 million or less in our CapEx spend for our existing 12 parks. So anything new, any new initiative with the hotel or with another park would be an addition to that. So we don't have any more color on that today, but what I'd say is we're working diligently to be more efficient in our CapEx spend and I think you see that going forward in our plan.
Operator: The next question comes from Brett Andress of KeyBanc Capital Markets.
Brett Andress: Thank you for all the detail on the 2020 plan. But if I could step back a little bit into the quarter, can you elaborate a little bit more on Infinity Falls? It does seem like that delay was a bit disappointing. But did that delay have any quantifiable impact on your Orlando attendance in the quarter?
John Reilly: Brett, this is John. Thanks for the question. So for competitive reasons, we're not going to break out our individual markets. Broadly, I would say, year-to-date, through the end of June, we've seen improved financial performance in each of our 6 markets where we operate our 12 parks. With regard to Infinity Falls, this is our last attraction to open in 2018. We've been pleased with the openings of our other interactions, and that said, I'm disappointed with the late opening here. And we're committed going forward in that we expect to open our ride attractions and events sooner in the season so that we can have the benefit of the summer season. We expect to announce the opening in the next few weeks for Infinity Falls. I can tell you, I've been out to the site and in the park and seen the rapids flowing through the trough and through the channel on the attraction, and we're getting great reports from early riders who have ridden in the ride commissioning process and we're just looking forward to opening what we think is going to be one of the best, if not the best, rapid rides in the world.
Brett Andress: Understood. So it's safe to say there's not, I guess, a really quantifiable impact around that, then, that delay?
John Reilly: What I'd say is, going forward, we want to open our attractions sooner, but we're not going to break anything down by market for you.
Brett Andress: Okay, fair enough. And also it does seem like weather was called out as a headwind in the quarter. Is there any way you can help us quantify, break that out? Maybe what attendance may have been in an ex-weather basis overall?
Marc Swanson: Brett, it's Marc. there's two headwinds in the quarter if you remember. There was the Easter shift obviously that had a negative impact on Q1 -- or Q2, excuse me, and we said that was 175,000 to 200,000 people. On the weather impact, I don't have a specific number for you, but I can tell you that it was significant enough that we did call it out. But I think if you kind of put those two things in perspective versus what we achieved in the quarter, it's a pretty good quarter with those headwinds obviously.
Operator: The next question comes from James Hardiman of Wedbush Securities.
James Hardiman: I guess, firstly, I just want to make sure I have the numbers right on the bridge. From an EBITDA perspective, you need $170 million to $200 million, 2020 versus 2017. I think you said you were getting $60 million to $75 million from the baseline 1% growth, $60 million to $70 million from the recapture and then, I guess, $50 million from the cost savings. I guess, first question, did I get those numbers right? And second question, the $50 million in cost savings, we've already been talking about $25 million, we're taking that up to $50 million. I thought the $25 million was a gross number and that we should be netting something out of that. Now it seems like the $50 million is a net number. Am I sort of interpreting that correctly because that seems to be how do I make the math work.
Marc Swanson: James, it's Marc. What I can tell you on the 3 buckets you described, they're laid out in the presentation, but $62 million to $75 million coming from attendance of the base and then a modest recovery from what we've lost over the years and then $61 million to $70 million coming from the per cap growth and $50 million from the costs. So that's how it breaks out, you'll see it on the slide. As far as the cost, what I would focus on is the $50 million that we've identified. And what we mentioned is that we've achieved the $40 million that we laid out there and we're focused on the $50 million that we've identified and we'll be executing on.
John Reilly: This is John. I'd just add to that, that the road map is illustrative and we believe we could outperform on any one of these three areas we mentioned before. On the attendance side, we're already approaching the base in the low case there. On the total revenue per capita site, as we said, we're pleased with the traction that we're seeing from our attractive pricing, from our revenue management and pricing initiatives across of the portfolio. We're in the early innings there and there's opportunity for improvement. And on the in-park side, we're seeing significant success in our culinary, merchandise and other in-park offerings and we're working very hard to continue the strong growth rates that we're seeing there. On the cost savings side, this is an area where we believe we can also do better. We've already identified and are executing on the $50 million, and the management team has been working on additional savings and we expect to find additional savings going forward.
James Hardiman: But just so I'm clear, the $50 million is $25 million incremental from the last time you spoke to us and it is now a net number, is that right?
Marc Swanson: Yes. The way it's laid out on that slide, it's a net number.
John Reilly: Yes.
James Hardiman: Okay. So you're not going to have to spend anything to get that -- incremental to get that $50 million, I guess, is another way of asking the question?
John Reilly: I'll give you an example, this is John. There may be initiatives in there in our CapEx spending, for example, but they would be included within our $150 million spend. For example, we'll be reducing utilities in the parks through an efficiency project. So there may be examples like that, but they would be within our plan.
James Hardiman: Okay, makes sense. And then maybe talk a little bit about the consumer. Obviously, your two peers have already reported and they've really struggled to grow attendance, at least on an organic basis. One of the theories that's out there is that with the relatively strong economy late cycle, that you're losing -- or they're losing, I should say, the high end of the market as people now have the money to maybe travel further, which would be obviously a headwind for the regional markets, but somewhat of a tailwind to the destination markets like Orlando. You seem to be in a decent position to comment on that since you have both. So maybe without getting into specific park results, can you speak to what you're seeing out of the consumer and sort of how they are behaving?
John Reilly: This is John. We thought we're in a strong competitive position. We've got a diversified portfolio of brands and parks in really strong markets. We've got very high barriers to entry in terms of the cost of building a large-format park in any of our markets. With regard to the consumer, I think the -- our success on the in-park side where you've seen -- we've seen 6.5% growth on the in-park spend tells us that with the right marketing, be it in-park or previsit, with the right product lineup and the right pricing, we're seeing receptivity to our plans. I think we're seeing that also on the visitation side, that as we better communicate the value of our pricing, as we better communicate the incredible scope and differentiation of our parks through our marketing communications effort, we're seeing consumers that have been receptive. And as we said, in the second quarter, particularly receptive because we withstood the effects of the spring break shift and weather.
James Hardiman: Let me ask you this way then. Orlando trends, I mean, beyond -- if you want to comment on your Orlando business, great, but if not, maybe comment on the broader dissemination market of Orlando. Has that turned a corner? Obviously, international played a big role in that. But are you seeing sort of healthier trends than before in that key market?
John Reilly: Yes. What I'd say is our focus is really on our execution within the market and to visitors who intend to visit the market. And as we noted before, this is an incredibly -- incredible tourist destination with over 70 million people annually visiting Orlando. So we believe through better execution on our pricing strategies, on our key marketing communications initiatives that we can succeed and continue to succeed in Orlando.
Operator: And the last question will come from Tyler Batory of Janney Capital Markets.
Tyler Batory: So I wanted to follow up on the pricing discussion here. I mean, you mentioned a number of times strategic pricing initiatives, executing on those pricing strategies. Can you explain a little bit more about where exactly you're seeing success? And I'm also curious if you could talk a little bit more about what you're doing with promotions?
John Reilly: This is John, I'll take the question. We have a significant amount of effort and resources dedicated to our pricing efforts across the park and we believe that's setting the company on a path to growth. We've got a good handle on this business, we're working with expert consultants and we're seeing traction. We've offered new attractive pricing, and we know -- we believe that we have some of the strongest value propositions in our markets and some of the strongest value propositions in the industry. And part of our pricing optimization is better communicating the strong value that we're offering. Along with marketing communications, those are working hand-in-hand. Our pricing experts are helping to shape the positioning of our products in our marketing communications as well. So we're particularly pleased with our progress along this front, and we believe -- we expect to see continued momentum on this front.
Tyler Batory: Okay, great. And then I also wanted to ask about San Diego. I mean, the data that we get there looks very strong. I mean, can you talk a little bit more about what's driving the strength out there?
John Reilly: This is John. San Diego is really a reflection of the key strategies and initiatives that we've reflected across the portfolio. We've launched Electric Eel in May and it's received positive acclaim. Been on the ride, it's a fantastic ride and we've received positive reviews. And I think the consumers in San Diego are excited about having a high thrill ride there at SeaWorld. We're also seeing traction on the pass front where we've seen traction across the portfolio. The San Diego team has done an excellent job developing their pass program, working with our strategic pricing group, working with our marketing communications group to convey the incredible value that those products have. And we've been refining the lineup in that market as we have across the portfolio. I've lived and worked in San Diego at our parks there for about 9 years in the past. It's a tremendous market for us, and we're excited about the momentum that we see there and across the portfolio.
Tyler Batory: Okay. And then just last question, a clarification. Did you say that attendance through July was up 900,000 visitors. Did I catch that correctly?
Marc Swanson: Yes, that's correct.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Reilly, Interim Chief Executive Officer, for any closing remarks.
John Reilly: We'd like to thank you all for joining us today. As we said, we're encouraged by the progress and the continued momentum we see in the business as we execute on our key initiatives, and we seek significant opportunity for continued improvement and growth going forward. We look forward to updating you on our progress toward our goals in the future. Thanks, again, for joining us.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.